Operator: Good morning, or good afternoon, ladies and gentlemen, and welcome to the OceanaGold 2017 third quarter results webcast and conference call. [Operator Instructions] This call is being recorded on October 26, at 5:00 p.m. Eastern Standard Time. I would now like to turn the conference over to Jeffrey Sansom. Please go ahead.
Jeffrey Sansom: Hello, everybody, and welcome to the OceanaGold third quarter 2017 financial and operating results call and webcast. Thanks for joining us today. My name is Jeffrey Sansom from the Investor Relations team at OceanaGold. On the call with me today in Melbourne office we have Mick Wilkes, President and CEO, Scott McQueen, Chief Financial Officer; Michael Holmes, Chief Operating Officer. Also joining us is Edward Sit Woon, Corporate Controller. In Toronto, we have Sam Pazuki, Vice President of Investor Relations. Before we proceed, know that all references in this presentation that you're about to hear adhere to international financial reporting standards, and all financial figures are denominated in US dollars, unless otherwise stated. Also note that the presentation contains forward-looking statements, which by their very nature are subject to some degree of uncertainty. I will now turn the presentation over to Mick Wilkes.
Mick Wilkes: Thanks Jeff, and good morning and good evening to everybody. And thank you for joining us on this very busy reporting day typically in North America. So the results for Q3 for OceanaGold, a higher gold production of 9% - by 9% quarter-on-quarter due to increased production at Haile and at Waihi. I'm very pleased to announce to the market that the Haile project is back on track and we've had a rebound in production from there with stronger production in August and September which is continuing. We have had lower revenue and profit due to the timing of sales, particularly out of Didipio and continued capitalization of Haile. We've put in place some additional hedging our Macraes operation next year and we have also hedged copper production or at least 80% of that copper production for two 2018 at a healthy price. We declared the second semi-annual dividend of $0.01 per share which is payable in December and we made further repayment of debt for almost $14 million including 12 million from our revolving credit facility. Very pleasingly we reported results from the initial drilling beneath the pit at Waihi, the Martha project with 18 meters that's almost eight grams through it and 11 meters of eight grams. Moving on to Slide 4, and just a summary of results year-to-date and by the quarter. So 136,000 ounces produced, sales of 131,000 ounces. Year-to-date 408,000 ounces produced, and 387,000 ounces sold. Copper production is going well, 4,400 tonnes of copper produced in the quarter and 14,660 tonnes for the year-to-date. So we're on track to achieve our production guidance for the full-year for 550 to 600 with a strong quarter in the fourth quarter. All-in sustaining cost for the quarter based on ounces sold of $748 per ounce and year-to-date of $644. Production as I mentioned at Haile up strongly by 94% quarter-on-quarter. The Didipio was down as expected because of the lower grade at the stockpile ore that's been milled at the moment after the completion of the open pit. Waihi production was up strongly by about 10,000 ounces because of the better grades in the areas we're mining at the moment and that production is expected to continue into the fourth quarter. And Macraes was down slightly due to technical issues in the open pit. Production at Macraes will increase in the fourth quarter as expected with higher production coming out of Coronation North. Then the financial results on Page 5, just a summary of revenue of 145 million, EBITDA steady at 74 million, net profit 22 million, fairly consistent on a quarterly basis over the past year. And reasonable prices received for gold and copper. Strong EBITDA margin continues in the business, 54%. Earnings per share, $0.14 per share for the year-to-date and $0.40 a share for the cash flow. Moving onto Page Six, our safety performance. You will note from our lagging indicator, recordable entry frequency rate. We had enjoyed a good success rate in improving our safety up until 2015 and we have seen some increase in the recordable injury rate since then. Largely as a result of commencement of higher risk construction programs at Haile and Didipio underground. We are working very hard to skill the workforce in both of those construction projects, sorry, both of those operations. Our safety standard has continued to improve. We focus our operation to identify specific risk at each operation and history of exposure and driver accountability. So, there is a program called the gold standard for leadership, which is being rolled out across the company, which endeavors to change the behaviors of our workforce and improve the safety culture across society. On Page 7, just some comment about our environmental and social governments or ESG performance. It does remain an integral part - pillar of the company. I'm recently very pleased to announce the appointment of Sharon Flynn as Executive Vice President, Head of External Affairs & Social Performance. Sharon joins us with a strong CV in this area having recently worked with Rio Tinto and in South America and in parts of Asia and with various NGL groups, so we welcome Sharon to the executive team. We won another award in the Philippines with recipient of the Philippine Chamber of Commerce and Industry for excellence in ecology and economy award, the use of green technology and wastewater management and contribution to the preservation of natural resources. In New Zealand, we commissioned social and environmental contribution report which highlights the benefits of mining in New Zealand which are very significant and of course we are the largest gold miner in New Zealand by some margin. In the United States, we're doing some very good stuff with the propagation of endangered species and contributing to the habitat preservation as per our requirements under the agreements in US. I'll now pass over to Michael Holmes who will talk to you and give you some detail on the operations. Thanks Michael.
Michael Holmes: Thank you, Mick, good morning and good afternoon, everyone. So on Slide 8, talking about the Haile operation as Mick Mentioned, the increased production on higher throughputs and recoveries and the ramp up is going well following the issues that were described in the last quarter and the resolution of those issues. We're still working through one of those remaining issues which is PCL control issue which is not impacting the mine at the moment and it's just a matter of reviewing and upgrading that over the period of the next year and a half. The solid quarter three performance of 31,374 ounces produced. You can see there the increased ore mined tonnes, waste mined tonnes, a good sort of increase in the Mill Feed and that continues into this month as well as the boast of the Head Grade. And we'll be looking at improving on that Head Grade in the fourth quarter. The process plan ramp up and fine tuning as I mentioned is going on really well as well as the expectation for a better fourth quarter. Going on to Slide 9, looking at the growth. Still exploring around the Haile. Focusing on the Ledbetter and the Mustang and the Snake areas and currently drilling the Mill Zone. So the pit that we account in mining at the moment is Mill Zone pit and Snake pit and that exploration is advancing very well. That's getting rolled into as well as the works and the studies as we progress for the permitting application for submission, so looking forward to submitting that application. Next slide, Slide 10, looking at the Didipio, as Mick mentioned a bit of a softer quarter there and that's based on the processing on the stockpile, ore that we have. So ounces produced of 31,887 for the gold and 4,387 tonnes of copper. We'll still be mining and processing from the stockpiles for the four quarter with the grade sort of softening during that period. So, as mentioned the pit has been finished in quarter two, there are some cleanup cost of the bottom of the pit and their establishment of the warning process, which is been added in the cost of the quarter and therefore reiterate costs are a bit higher. But you see there that no ores or wells is being mined and it's a matter of fitting through the mill at the slightly lower grades. The next slide, Slide 11, the Didipio Underground is still advancing exceptionally well and as per expectation. The decline is down through the 26, 62 ore as of the end of September which is at 320 vertical meters beneath the surface. That's beyond I suppose the first panel and we're mining and developing the decline into the second plant. The infrastructure projects are progressing well with the surface batch plant being commissioned, the paste plant being 80% complete and tracking to plan and that's a picture on the slide there of the paste plant. We commenced the construction of the underground primary pump station at 2270mRL and that primary pump station there is being upgraded below the pumping area to 450 liters per second which is in line with the installed capacity that is higher in the mine to handle the inflows of order as we mine the ore body. So moving towards the next slide, Slide 12. Waihi, very strong quarter there. Produced 35,904 ounces for the quarter and that's on the back of some better grades coming out of the Correnso ore body and sequencing of the ore body and will believe that sequencing and the position should continue for quarter four, so a steady and similar quarter for Waihi. Still focusing on I suppose the mining and the mining costs and managing that. And the ore Mined for the quarter was increased, Waste Mined increased as well and then the mill throughput and the grades you can see there, all increased for the third quarter. Exciting for the next slide, with regards to Martha project as they mentioned some very exciting hits which we mentioned averaging about 8 grams per ton and true widths of between 11 and 18 meters. So that's coming out of the 800 drill drives where we've set up two rigs to drill out of that drive and then we'll commence continuing development of the drive further along advancing along the stride length. The 920 drill drive is continuing to be mined and we are expected to drill from that RL in the fourth quarter. So some exceptionally encouraging results and the program we have there is an 18 month to 24-month drill program to have a look at all those targets. We go the next slide, Slide 14, Macraes, so bit of a soft Macraes quarter at 36,878 ounces. As Mick said, just a little bit of mine scheduling and plan difference with regard to some geotechnical issues with one of our pits, just working through that as well as some weather impacted delays. We will have an increased fourth quarter with the mining of Coronation. So in the third quarter, the sort of narrower mining from the frame and the start-up mining at Coronation North was the reason for the reduced sort of mine ore tonnes. We will continue with the opening up the Coronation north ore body and that's where the grade and the tonnes will come true on the fourth quarter. So on average grade of 1.2 to 1.4 is expected out of the Coronation North with stronger recoveries. So overall, a solid a third quarter and tracking on a consolidated basis to achieve our guidance for the year. I'd now like to hand over to Scott McQueen, the CFO who will go through the financial results.
Scott McQueen: Thank you, Michael, and good morning and good afternoon to everybody and obviously full details of the financial results have been included in the accounts and a bit more in the MD&A released overnight, so we'll just cover the highlights over the next few slides starting on Slide 16. The revenue at first glance, it looks somewhat concerning but [indiscernible] the quarter as relatively consistent quarter-on-quarter and its bit of a camping noise I guess you could say amongst the results in the quarter with a continued capitalization of Haile. The revenue line, you can see there on the right and you recall from prior slides that sales are pretty much flat, slightly up on the quarter. Prices were relatively flat, slightly increased but not material. So the change that you're seeing there in the revenue line is really the shift announced from the Didipio across to Haile where we've seen an improvement in Haile performance, but all those ounces has been capitalized and not reported in the revenue line. In addition to that we were impacted late in the quarter with some timing of sales, we 5,500 ounce shipment of gold out of Didipio that was due right late in the month but was delayed due to typhoon, weather in the area, couldn't get the gold offsite, so that also impacted our revenue slightly quarter-on-quarter. Adjusting for those I would describe the revenue relatively flat. EBITDA line continued performance as Mick mentioned earlier, it was still about 50% in the quarter. obviously, the lower revenue line does slowdown on a gross quarter by quarter comparison and we've seen a slight tickup at the lower overall G&A cost that's going to be continued focus moving forward for me and we must keep control over our G&A cost and keep trying to drive those down. And that net profit line again, the impact on revenue goes a little down, but we get back up I guess relative to the revenue line with some lower D&A in this quarter relative to the last quarter. And you recall last quarter, we had probably high D&A associated with the wind up of the open pit mining and the unwind of the prestrip at the Didipio, we'd probably come back to a bit more normal. So the run rate now this quarter that gave us a little bit of a boost relative to quarter-on-quarter but overall, I think steady results with a bit of noise around the accounting side. Turning to Slide 16, similar results you see surprising a low looking operating cash flow that obviously represents the same practice that I mentioned on the previous slide, none of the operating cash flow or revenue from Haile appeared in that line, netted off in the investing line. So that's one major factor as why we appear to have a much lower operating cash flow quarter-on-quarter. We also had a fair movement in receivables. As I mentioned, we had some inventory build at the Didipio with the gold not getting offsite, we also, across the quarter had our building concentrate. At the Didipio, the timing, we'll say that on line in quarter four. In total, I think our receivables and payables had a net increase of $23 million across the quarter. So that's a fair bit cash built out there to unwind early the fourth quarter. The investing cash flow, a bit of a reduction quarter-on-quarter as we finish the major spend early in the year at Haile development. And obviously the major projects that we are still continuing on is the Didipio underground and ongoing expansion in sustaining capital around the various sites which we'll cover in more detail on the next slide. The financing cash flow, we repaid $12 million of debt in September. Subsequent to the quarter end result we've also actually paid about $30 million of that debt this week. I'm mention that - I'll cover that a bit more in the next slide. So overall, I guess a steady quarter, in total cash flow terms, with cash flow per share pretty flat across the quarters and adjust for all accounting movements. Turning to Slide 17, the slide showing various views of our CapEx. The top left burnout chart shows a total spend by location. As you expect probably the major uses of capital over the year-to-date have been Haile, the development and the continued expansion work going on there plus the Didipio underground plus some other projects there. But still a fair commitment to expand at both Macraes and Waihi, associated primarily with the loss extensions that we have talking. Down on the left corner there is a bit more detail on the growth CapEx of 65 million year-to-date at the Didipio that includes the underground project obviously but there is another very significant project in there, the overhead powerline and we had some TSF work list in there as well. The 50 million Haile, it's really about a number of factors, obviously the completion of construction, development construction in Q2 subsequent to that the continued commissioning period between, we've got net of revenue and OpEx capitalized into that number and we've also got capitalized into that number the ongoing growth projects and development and expansion projects that has been previously flagged plus what will - elements that will be reclassified as working capital now that we've officially commenced commercial production. The sustaining CapEx, you can see a fair bit at Macraes that's primarily pre-strip and underground development of that 25 million of 36 milling. It's another major project, [indiscernible] upgrade and we're running the equipment very hard in the grade, so quite a bit of spend planned there around rebuild the equipment over time. At Didipio, $7 million year-to-date that's a lot to do with our original infrastructure program that we are committed to there and helping development program, social and environmental and unity development there. In Waihi, obviously quite a money being spend down in tool drilling to continue to drill out around the current underground plan plus an equipment, [indiscernible] early in the year there at the Didipio going pretty much according to plan. The exploration side has the system which we've, the opportunities as being mentioned throughout the year, quite a bit of a commitment at Waihi in regard to developing two underground drill drives and obviously seeing the good results of that effort now. And we've got a commitment there also which includes Greenfield development and upgrade, drilling around the WKP and other areas [indiscernible]. In terms of Haile, that $7 million includes the underground drilling and the Palomino and areas within the site as well as some regional targets that have been identified. Not a lot going around the DPO area. Year to date, in terms of drilling and still material amount of work being done and at Macraes, 5 million spent year to date primarily around drilling opportunity drill longer term also. Turning to slide 18, the summary of the cash position. At the end of the quarter, total liquidity sitting at 118 million after including the 12 million repayment of debt. That's excluding the $70 million of marketable securities that we have, which we, and in particular the strategic effort does offer a liquidity option if required. Undrawn facilities of 57 million gives us a total debt position of 273 million of drawn facilities and $43 million of equipment leases. As I mentioned previously, subsequent to the end of the quarter, we've paid another $30 million of debt as our cash position allowed us to and that reduces our debt carrying costs obviously. The remaining $43 million will be settled towards like December and we'll be comfortably through operating cash flows, between now and then and allow us to maintain a liquidity position at the end of the year that we believe is adequate to our requirements moving into 2018. With that, I'll hand back to Mick to wrap up.
Mick Wilkes: Thanks, Scott and thanks, Michael. So ladies and gentlemen, just looking ahead and recapping on the quarter that was, we can expect a strong fourth quarter with increased production out of Haile and Macraes. With the continued ramp up and a full quarter of production out of Haile, higher throughputs and better recoveries consistently through the quarter, we can expect strong production out of Haile in the fourth quarter and with Macraes, of course, we mentioned in the Coronation North deposit coming online very shortly. So on the development front, expansion of the Haile project, the permitting for that is progressing the planning for it. We do expect to commence that early in 2018. As similarly, with the Martha project in Waihi, we have plans for permitting the lots of mine extension at Martha progressing well. As of course is the drilling as we've highlighted in this report. And thirdly, the development of the underground at the DPO is progressing well and we do expect first oil at the end of the year. On the exploration front, a lot of activity happening there. We've got intense drilling at Waihi and at Haile. We've signed two joint ventures in Argentina where exploration will commence or has commenced already and we're continuing to focus on creating value through the drill bit, either the next - over the medium term. Our guidance for the full year is maintained. We are on track to achieve that guidance of 550,000 to 600,000 ounces and copper production of 18,000 to 19,000 tonnes of copper at an all-in sustaining cost of $650 per ounce. So now, I'll hand it back to Jeff.
Jeffrey Sansom: Thanks, Mick. At this time, we will open the lines to take some questions. [Operator Instructions]
Operator: [Operator Instructions] Your first question comes from Michael Gray from Macquarie.
Michael Gray: Thanks very much. Hello and thanks for taking my questions. Let's start with Waihi, the drill results from Martha underground. Can you give us a little bit more context and color, whether that was infill drilling or stepout and was the very thick weighing intercept a surprise or not? And to what extent, is this open to depth?
Mick Wilkes: All good questions, Michael and probably a bit premature to answer them so simply, but we're very pleased with the results. I guess the width of the intercepts was a bit of a surprise, but we are drilling extensions of the ore body that was sitting beneath the old open pit and extensions of the underground workings. So, it's a good start to the program, good big intercepts, true widths, I would eventually say that they are step-out. They haven't been drilling in that area previously. So, and as to the depth extension of these, there is obviously from the picture that we showed, there is a plan to drill at depths over the next 24 months. So we do expect these intercepts to continue the depth.
Michael Gray: Okay. Thanks for that, Mick. And a couple of questions on Haile. I know in the past, you have said that probably towards the end of the year, you're going to start disclosing a bit more on the block model reconciliation vis-à-vis the RCE grid control program, is that still the case or are you able to provide a little few insights right now?
Mick Wilkes: Well, just suffice to say that there are no concerns with the reconciliation of the model at this stage. And our geologists like to have a fair percentage of the ore body, reasonable percentage of the ore body mined before they'll make any definitive statements about the reconciliation, but there are no concerns at the moment and we'll address that in the New Year.
Michael Gray: And final question, just on Haile, are you able to provide recoveries for each month of the third quarter and a breakdown of the oxide and sulfide feed mix.
Mick Wilkes: You're getting a bit technical there, Michael. I think that it's suffice to say that we are seeing recoveries above 80% and the 77% average that you see in the third quarter is heavily affected by the poor performance that occurred in July, which is the first month of the quarter, when we were still experiencing significant losses of - so August and September were good months and October is continuing in that guide.
Michael Gray: Okay. And any comments in terms of the oxide and sulfide breakdown of the feed?
Mick Wilkes: It's all sulfide Michael.
Operator: Thank you. Your next question comes from Michael Slifirski from Credit Suisse. Michael please go ahead.
Michael Slifirski: First on WKP, that nice hole there, some context around that, is that confirmatory of that historic drilling or where does that sit, I wasn't quite sure.
Mick Wilkes: Yeah. It is a confirmation of historic drilling, Michael, but it's not a parallel drill hole. It's just a stepout drill hole and it's basically confirmed, we targeted that East weighing with that hole and we hit it as expected. So it's a very good start to that program.
Michael Slifirski: Secondly, with respect to copper during that period, copper was stable, was there any QP benefit in the results?
Mick Wilkes: We have a month, I think it's a one month closer period on our copper. Ed, do you have any details on whether we benefited from the mark-to-market on copper.
Edward Sit Woon: Not really. It's a situation at the moment, so what you sell, that's what you get.
Mick Wilkes: Okay. So, no. The answer is no, Michael.
Michael Slifirski: With the situation that Philippines moving to perhaps the resolving self quite nicely and logically, if you get a resolution, is there anything that you'll do differently, or do you just remain very, very cautious having had one big surprise, you remain cautious about your sort of longer term Philippines strategy?
Mick Wilkes: We will remain cautious, Michael. We have a very defined business plan for the DPO. We continue that we will execute on. We continue to explore the mine environment of the DPO. We do have our exploration. We of course just think about being optimistic on getting further exploration losses and where the - we'd have proper access to those areas. So no plans to expand in the Philippines at this stage, although we're committed to the DPO project and operation and the exploration around there.
Michael Slifirski: And the finally, the comments around the DPO depreciation, saying that the quarter was sort of a more normalized amount, how do we think about that in the context of the underground coming in and how that might change things?
Mick Wilkes: Scott, would you like to have a crack at that?
Scott McQueen: To take that one, Michael, I haven't really looked forward to plan how the underground amortization will unwind once we get through the development, let me go into production, but it's essentially going in the disclosed capital and divide it over the long term. It's very unit production basis.
Mick Wilkes: Yeah. So it's 140 million over 12 years roughly.
Michael Slifirski: Yes. I guess I got a little bit confused in terms of clean quarter to add that amount too. Presumably the quarter we've just seen has still got some unwind of the open pit contribution?
Mick Wilkes: Yes. And that some pit contribution continues through the life of, as well the life of mine too. It essentially is just drawing down from the stockpile, so the amortization rate you're seeing come through over the last quarter is pretty clean in regards to just being what's coming out of the stockpile. And so that will continue through the life of the mine and then the underground will layer over the top of that.
Scott McQueen: And that stockpile was capitalized to about $10 a tonne. So that will be amortized this quarter.
Operator: Thank you. Your next question comes from Jeff Killeen from CIBC.
Jeff Killeen: I'd like to start at Haile if I could. Just to clarify one of the statements I think you made during the prior section, you had suggested that grades at Haile would increase in the fourth quarter, I'm assuming that what you mean by is that mine grade would increase, but in terms of the output for the mill, it sounds like throughput would increase, recoveries would be higher relative to Q3, but would you expect the actual head grade to increase or would that be relatively flat QonQ?
Mick Wilkes: It will be relatively flat. We're seeing consistent head grades at the moment 2Q, 3 and I wouldn't be scheduling in for higher grades going forward. We obviously have plenty of capacity to mine more ore than we mill, so there is always that opportunity but at this stage, we're looking just focusing on throughput and recovery, Jeff.
Jeff Killeen: So with that in mind and given your previous comments on recovery increasing into October, do you think Q3 would be a fairly representative quarter for the asset going forward or do you still think there is some moving parts in more looking to Q1 of 2018 as a benchmark?
Mick Wilkes: Well, Jeff, as I mentioned to Michael Gray, Q3 included July which wasn't a good month for us. The run rate at Haile is around 40,000 ounces a quarter and that will be a reasonable expectation.
Jeff Killeen: Okay. Thanks. And then switching to the DPO quickly, I just noticed one statement in the MD&A about some of the delays with your inventory was due to some transport permits, is that something that has been rectified or is there any concern that that could be an issue in Q4 and going forward?
Mick Wilkes: No. It has been rectified. It's not uncommon in the Philippines for these permits, these transport permits to be delayed for rather minor issues and it's just the bureaucracy in the Philippines, but those permits have been granted and the concentrates have been shipped already.
Jeff Killeen: Okay. Great. Now switching to Waihi, obviously, you're pointing to some pretty good intercepts from the exploration drilling this quarter, is any of that material being thought of as possibly being accessible from underground or is this all really to support the restart of the open pit that concept?
Mick Wilkes: No. The Martha project is - the ore that sits beneath the open pit, the concept is a combination of both a cutback on the pit and the rest of it being taken from the underground. So about a 70-30 or 60-40 split, the higher proportion coming from underground. So, we obviously have access to those underground areas from the existing underground operation and the cutback that's proposed would only be on land we currently own.
Jeff Killeen: And pointing to some conversion of resources to reserves, with the infill drilling, do you have a goal in terms of replacement or growth in line for 2018?
Mick Wilkes: We've got a macro goal, so we call it the 1-million-ounce target. We have a - we can't put that in a resource or a reserve until we drill it, but we have a strong conviction that those, from the geological information we have from previous drilling and previous mining that there is significant amount of gold there. So over the next years, we will progressively build up that inventory as we update resource models.
Jeff Killeen: And lastly going to Macraes, or I think you mentioned in the commentary that you had an issue with one pit during the period, had some stability issues, that's not the Coronation North pit, is that correct?
Mick Wilkes: No. It's not. It's called Freedom. So it's the area between the Frasers and the Innes Mills pit and we had some instability on the footwall, which caused us to stop mining there and let it settle down. And that held up some production out of that pit in the third quarter. But the ore is not lost. It's just that we have had to reschedule.
Jeff Killeen: Okay. And then lastly from me, obviously a fairly material jump in the output in Q4 is going to be needed at Macraes in order to get to your guided range, would seem that you are pointing towards an increase in head grade, a slight increase perhaps in recoveries, but would seem that you'd have to have a fairly significant increase in throughput as well, would you expect all of those numbers to move higher in Q4 versus Q3?
Mick Wilkes: No. Throughput would be the same. It's just grade related. We will probably end up at, achieving the guidance that we gave for Macraes will be a struggle, but we're still expecting a very strong production quarter.
Operator: [Operator Instructions] Your next question comes from Justin Stevens from Raymond James.
Justin Stevens: So at Haile, are you guys expecting throughput to stay around the three-quarter mark or are you guys expecting above that 7500 tonnes per day, Mark?
Mick Wilkes: So currently, the third quarter, we ran at a rate as about 1.9 million tonne per annum on an annualized basis and we will improve on that in the fourth quarter, which we ramp up to nameplate which is 2.3 million tonne per annum. So we expect a steady improvement quarter on quarter.
Justin Stevens: Sounds good. And switching over to Waihi, are you guys expecting the grades to stay up there or should we expect them to start drifting back towards?
Mick Wilkes: We are expecting fourth quarter grades to be steady.
Justin Stevens: Moving over to the DPO, you guys are - you are saying gold grades will probably slip down a little, are you expecting them to slip down below 1.2 or will the weaker quarter primarily be just throughput driven?
Mick Wilkes: Sorry, was that the DPO?
Justin Stevens: Yeah.
Mick Wilkes: Yeah. Grades will slightly come off as we're into the stockpile there. So production out of the DPO will be slightly lower in the fourth quarter.
Justin Stevens: Should we expect the throughput to slip as well based on sort of the planned maintenance and a couple of other factors there?
Mick Wilkes: There will be a lower throughput level. We are constrained to the 3.5 million tonne limit until we get the permit to increase that throughput.
Justin Stevens: And just on the inventory build there, I'm assuming those are probably later in the quarter ounces and copper tonnes that didn't make it out, in terms of just the cost profile, should we expect those to be coming, booked next quarter at about the same cost as what we saw sold for the third quarter?
Mick Wilkes: Yeah. I believe so.
Justin Stevens: And just do you guys have a rough ballpark for Macraes for the tonnes at the Coronation North that you're expecting in the fourth quarter here?
Mick Wilkes: No. We'll just - we wouldn't give that level of detail, Justin.
Justin Stevens: Okay. And just last question on Macraes, should we expect for recoveries to sort of hang out in those low ADS market, like, is more of that ore going to be an issue going forward or is that mostly done?
Mick Wilkes: Well, Macraes has been going for 28 years with ore and I mentioned it will continue. But the Coronation North is similar to what we've been mining at Coronation, so the low 80s is consistent, yeah.
Operator: Thank you. There are no further questions at this time. Please proceed.
Mick Wilkes: That concludes the presentation for today. On behalf of the team at OceanaGold, I'd like to thank you for your interest and participation. Should you have any further questions, please don't hesitate to contact us directly. Thanks and good afternoon and good evening.
Operator: Ladies and gentlemen, this concludes your conference call today. We thank you for participating and ask that you please disconnect your lines.